Operator: Good afternoon. My name is Samantha, and I will be your conference operator today. At this time, I would like to welcome everyone to the MediaAlpha Q2 2022 earnings conference call. The conference is being recorded. [Operator instructions] Thank you. I would now like to turn the call over to your host, Denise Garcia, Investor Relations. Ma'am, you may begin your conference.
Denise Garcia: Thank you, Samantha. After the market closed today, MediaAlpha issued a press release and shareholder letter announcing results for the Second Quarter ended June 30, 2022. The documents are available in the Investors section of our website, and we will be referring to them on this call. Our discussion today will include forward-looking statements about our business and our outlook for future financial results, including our financial guidance for the third quarter of 2022, which are based on assumptions, forecasts, expectations and information currently available to management. These forward-looking statements are subject to risks and uncertainties that could cause future results or events to differ materially from those reflected in those statements. Please refer to the company's SEC filings, including its annual report on Form 10-K and its quarterly report on Form 10-Q for a fuller explanation of those risks and uncertainties and the limits applicable to forward-looking statements. These forward-looking statements are based on assumptions as of today, August 4, 2022, and the company undertakes no obligation to revise or update them. In addition, on today's call, we will be referring to certain actual and projected financial metrics of MediaAlpha that are presented on a non-GAAP basis. These metrics include adjusted EBITDA, contribution and contribution margin, and we present them in order to supplement your understanding and assessment of our financial performance. Non-GAAP measures should not be considered as a substitute for or superior to financial measures calculated in accordance with GAAP. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are included in our press release and shareholder letter issued today. Finally, I'd like to remind everyone that this call is being recorded and will be made available for replay via a link on the Investors section of the company's website at investors.mediaalpha.com. Now I'll turn the call over to Steve and Pat for a few introductory remarks before opening the call to your questions.
Steve Yi: Thanks, Denise. Hi, everyone, and welcome to our second quarter 2022 earnings call. I'd like to start with a few key takeaways from our shareholder letter. A year into the P&C insurance hard market cycle, we continue to work through challenging market conditions as the industry grapples with some of the highest inflation it had seen in the past 50 years. As a result of elevating claims costs, the vast majority of our carrier partners continue to prioritize profitability over growth, which has resulted in additional price decline in P&C marketplace. While we expect near term results in P&C vertical to remain under pressure for the remainder of the year, we continue to expect a swift rebound in demand once carriers restore their profitability. The transition periods following hard markets then compelling opportunities for carriers to gain market share, as higher rates lead to increased consumer shopping. This is optimism that stems from direct past experience. When we emerged from the last hard market cycle in 2018, transaction value in our P&C vertical grew over 80% year-over-year. Turning to our health insurance vertical. We continue to anticipate a strong annual and open enrollment period in the upcoming fourth quarter. We closed the CHT acquisition on April 1st, and we have been encouraged by our early success, extending our team's social media capabilities to our under 65 health insurance vertical. We continue to expect the acquisition to help us benefit from the rapid growth in digital marketing investments from health insurance carriers, particularly in the years ahead as the expanding population of Medicare beneficiaries increasingly sharp spin off other Medicare Advantage policies. With that, I'll turn the call over to Pat, a few words before we open the call to your questions.
Pat Thompson: Great. Thank you, Steve. I'll now touch on a few more items before opening the call to questions. First, I'm pleased to announce that we have substantially completed the $5 million share repurchase plan launched in March. Under the plan, as of yesterday, we had $4.3 million to repurchase approximately 450,000 shares at an average price of $10.97 per share. Our ability to opportunistically repurchase shares in the midst of a challenging P&C market speaks to the resiliency of our financial model. Given the tough operating environment, we are more focused than ever on [Technical Difficulty]. We expect Q3 headcount and operating expenses, excluding non-cash items, to be roughly flat with the second quarter. Our highly automated model and expense discipline have enabled us to remain profitable in spite of significant revenue declines. And we remain intensely focused on operating efficiently. Turning to our third quarter guidance. While we expect continued year-over-year click volume growth in our P&C vertical, we expect pricing to decline relative to what we saw in Q2. Outside of P&C, we expect Q3 transaction value vertical to be similar to Q2 levels as we face another difficult comp due to the non-recurrence of a special enrollment period for ACA plans, which impacted last year's comparable figuresm as well as continued lower spend by our Medicare broker partners for leads and pulse. We expect to return to strong year-over-year growth in our health vertical during Q4, driven by annual open enrollment periods for under 65 in Medicare plans. During this hard market in P&C, we are staying focused on executing our long-term growth strategy, helping our partners become more efficient with our customer acquisition spend, increasing our data integrations with partners and having productive conversations with a number of insurance carriers regarding new supply partnerships. We expect these efforts to bring us market share gains and strong growth when the P&C market recovers. Finally, our management team continues to believe that MediaAlpha stock is an attractive investment. During the quarter, I purchased 35,000 shares of MediaAlpha stock, and our co-founders, Steve and Eugene are selling their portion of newly vested RSUs required to cover the associated tax liabilities. We are very much aligned with our long-term shareholders. With that, operator, we are ready for the first question.
Operator: [Operator Instructions] And your first question comes from the line of Michael Graham with Canaccord.
Michael Graham: With all the information in the shareholder letter. I just wanted to ask a bigger-picture question about the competitive environment. We saw some reports from some of the other players like EverQuote and QuinStreet, and you know, the growth - the decline in revenue there were fairly modest. And I'm just wondering if you had any comments about what you are seeing in the competitive front and what you think about your performance for some of those other players?
Steve Yi: Hey, Michael. This is Steve. That's a great question. I think what you're seeing is the reflection of some of the differences in our business models. I think most of our publicly traded shares are lead generators. So what they do is they buy traffic to their sites, convert this traffic into clicks for carriers and leads that they sell to agents. So in a hard market, as compared to direct carrier demand, agent demand actually come pretty well. A couple of reasons for this. One is that the marketing subsidies that agents get from their carriers largely remain in place. I think important is to understand that the economic incentives that agents have are somewhat [Technical Difficulty] carriers and continue to earn commissions on new policy sales, whether policy is profitable or not. And so what you tend to see is that hard market cycles, agents typically continue to market, even when carriers themselves pull back. And it's this agent demand that acts as a [Technical Difficulty] for a lot of these lead generators. And so I think, as you know, our model is different. We're a marketplace focused on connecting direct carrier demand with millions of shoppers through our hundreds of supply partners. And we continue to focus on these carrier partnerships because this is where the growth and scale is going to come from when the hard markets cycle ends.
Michael Graham: Yeah, that makes a lot of sense. And then if I could just ask a quick follow-up. And are there any data points that you are getting from your carrier partners that [Technical Difficulty] to kind of be more optimistic or less optimistic relative to last quarter in terms of how long this market is going to go on for?
Steve Yi: Yeah, I think - thanks, Michael. Yeah, I think we'll echo some of the sentiments that I think you've been hearing both from people within our industry and the broader P&C space is that we do have a more pessimistic outcome - outlook. I think our current outlook is that you're really not going to see a broad-based recovery and carrier marketing demand until 2023. And it's for all the reasons that I think we're increasingly becoming a warehouse, right? We're still seeing some inflation in nearly 50 years in claims costs.  And I think adding to that is that some states and some of the larger states, actually, are taking longer to approve rates than anticipated. And you're seeing this really play out in the second quarter combined ratios that you're seeing from carriers that are coming out that are worse than - actually sometimes far worse than expected. And so, I mean, even though I think the current cycle is turning out to be getting deeper and longer than I think most predicted, I mean, certainly us, too, carriers achieving rate adequacy is not a matter of this, though, but it's really when. And when this happened, as I mentioned before, our direct experience is that carriers tend to snap back to growth mode rather quickly. And really, our marketplace model enables carriers to really scale their customer acquisition investment better than the other models coming out of the last hard market cycle. We outperformed competitors because of the hallmarks of our marketplace. And we have to do so again.
Michael Graham: All right. Thanks a lot, Steve.
Steve Yi: Thanks, Mike.
Operator: Your next question comes from the line of Andrew Kligerman with CS.
Q – Andrew Kligerman: Very close, Kligerman. But anyway - yeah, that was an interesting point about maybe taking until 2023 before you see that turn. Would you expect that kind of rapid snapback at that point in time. If, indeed, this does happen, where I think in the letter you mentioned - and on the call, you mentioned an 80% turnaround in revenue? I mean, is that the kind of snapback you would expect? Could it be multiples of what you're seeing now in terms of revenue?
Steve Yi: That's based on our past experience. I think, that snapback can happen in a period that's as short as six to nine months. And it's hard to predict the overall scale and the actual speed this time around just because there are obviously factors at play here in this hard market cycle that are different than the last one. But it's really what ends up happening is when carriers have gone fallow in terms of investing in growth over a period of one and a half to two years, as carriers start to realize that the rates are adequate and start to develop confidence in that and they see their competitors actually starting to market against it and as consumers start to shop more, I think the profitability pressure that the carriers are facing now reverts pretty quickly to growth pressures. And we've seen this happen before, and I think we expect to see this happen again.
Q – Andrew Kligerman: Okay…
Steve Yi: And there's probably one thing I would add to that, Andrew, which is I think we outlined in our shareholder letter that pricing was down around 50%. And so you can start to make assumptions on, hey, what happens if pricing recovers to prior year levels or a little bit less, or you can run sensitivities around that and start to get a feel for as the business recovers, what we think that recovery curve could look like.
Q – Andrew Kligerman: I see. That's very helpful. And what - maybe a little more color on the exit of the education vertical. Why you – you felt the need to exit? I mean, it seems like a profitable business. Maybe just a little further color on that.
Steve Yi: Yeah, sure. I can take that. I mean, the exit was really more of an end to one of our legacy partnerships. I think you all know that our current focus is almost entirely on insurance. But in the past four or five years ago, we were more broadly focused as an advertising technology platform across multiple verticals. And really, the higher end vertical was just consisted of really one legacy partnership supported by, I think, one full time equivalent. And so, really, when this partnership ended, we decided to exit this vertical and continue our focus on insurance.
Q – Andrew Kligerman: Makes a lot of sense. And then just, yeah, maybe lastly, just headcount. You talked about a slight decline this quarter. Pat, I think you said that it was going to stay flat next year. Is this an area where you may have a little more flexibility? Or I think earlier in the call, you were just talking about your - you've got a lot of technology and so forth, so that the staff is at a very efficient level already. But is there some flexibility in the staffing going forward?
Pat Thompson: Yeah, and I believe we said that the headcount and operating expenses would be roughly flat in Q3 versus Q2. I don't believe we said anything about next year on it. But the thing I would say is we believe we have an efficient operating model. We believe that we run lean. And given the market conditions, we're being kind of particularly kind of choosy and frugal when it comes to adding heads. And so I think, over the course of the last quarter, we were down a couple of people, excluding the CHT acquisition, and we don't really have any plans to grow that. And I would say that, over time, as the P&C market recovers and we pivot back to growth mode, we would expect that we would need to add some heads to grow capacity and to invest over time. But we feel like we're in a good position where we're making the right trade-offs between the short term and the long term.
Q – Andrew Kligerman: Thanks a lot.
Pat Thompson: Thank you.
Steve Yi: Thanks, Andrew.
Operator: Your next question comes from the line of Ben Hendrix with RBC Capital.
Q – Ben Hendrix: Thank you for taking the question, guys. We're certainly seeing DTC brokers slow their growth to focus on generating more higher quality Medicare membership and on the senior side there. And so for your senior vertical, do you - is that pushed kind of Steve has mentioned that kind of a slowdown in activity there. But for those brokers that stay on your platform and stick with you, is this push toward higher quality membership fostering deeper relationships and further integration on your platform, maybe even more kind of supply side relationships? Thanks.
Pat Thompson: Ben, and this is Pat. I'll tackle that question. So I would say within Medicare, it really is kind of a tale of two different sets of products for us, where there's the click product, which is - has been performing well and that trend continued in Q2, and that has been both across brokers and across carriers. And I think we have - we really like the way we're positioned on that. We really feel like we have good momentum on it. I think pivoting to calls and leads, that's an area where it was weak across both brokers and carriers. From a broker standpoint, I would say that we haven't really had any substantive brokers go dark. So we haven't gone to a spot where, hey, a lot of folks have turned us off. But we have seen pretty meaningful budget reductions in pockets from them. And the color we're getting from a lot of them is kind of first trying to manage profitability because I think they've had some kind of profitability challenges. And secondly, they've felt a bit of inflation on the agent cost side. It's well documented. Wages are going up and felt some challenges there. But we would say that we remain very bullish about clicks, calls and leads on the Medicare side because, fundamentally at the end of the day, the Medicare Advantage product is 44% penetrated, and that number is going up and to the right. And so we think that this is a temporary blip.
Q – Ben Hendrix: Thank you very much.
Steve Yi: Thanks, Ben.
Operator: Your next question comes from the line of Meyer Shields with KBW.
Meyer Shields: Great. Thanks. I just had a couple of, I think, really quick question. Pat, you quoted the letter talking about the much bigger decline in P&C click prices this time around. Can you give us a sense as to the starting position? In other words, is it a bigger decrease from the same crest? Or were we starting from a higher starting point?
Pat Thompson: Yeah. And Meyer, we're coming from a higher point in 2021 than we were in 2016 when the prior hard market hit. So the general trend over time in CPC is our revenue per click for us has been up into the starting point in 2021 was higher than it was in 2016.
Steve Yi: I think, Meyer the one other thing to keep in mind is that over long periods of time, the pricing can fluctuate based on just the supply side mix, right, high quality supply partners, who can garner pricing upwards of $50, $67 a click, as well as lower priced publishers who have clicks. Clicks can be valued at something lower than that at $5 and $10. And so oftentimes, over a long period, fluctuations and the mix of our supply can affect the average price as well.
Meyer Shields: Right. Okay, no, that makes perfect sense. One other, given in terms of the business model, and I didn't think this would happen, but I now suspect that it will, if you have one major competitor or one major insurer that is adequate well before its peers, does pricing go up? And do you have to be - do you have to have two companies focused on growth to really see pricing move where you've got that level of competition?
Steve Yi: So I think that's a very good question. I think what you see is you tend to see pricing start to move up even when you have a small number of carriers emerging from a hard market cycle. I mean, certainly, competitive pressures can drive up the pricing. But really, I think the way we work with our carrier partners is really helping them to optimize their spend and their bids based on the expected lifetime value of the policy that they purchased. And as you can imagine, the expected lifetime value doesn't necessarily differ whether or not the marketplace is competitive or not. And so, obviously, competition helps, and prices will go up as you see more carriers come back in and we see a broad based recovery in demand. But I think, what you'll start to see, as early carriers come back, they are comfortable about the rates is to see that the pricing increases will start to happen in the near term. And what that enables is really the unlocking of a lot of supply because a lot of our supply partners you know, can then acquire, go out there and higher quality revenue – higher quality traffic. And that's what really jump starts the scale within our exchange. And it can be one or a small number of carrier partners coming back in a meaningful way that jump starts that.
Meyer Shields: Okay, tremendous. That's very helpful. And one last question, if I can. You've been very clear about the overall trajectory. But if we look beneath the surface, to the extent that there is direct distribution of homeowners insurance, is that seeing the same challenges that the auto book is seeing?
Steve Yi: You're seeing some of the same pressures, but not all. I mean, some of the cost inflation that you're seeing, you're seeing on the homeowners side. I think one of the things that homeowner insurance policy rates are dependent on is also where profitability is dependent on our catastrophic events.
Meyer Shields: Right. Yeah, that's true. Okay, perfect. Thank you so much.
Operator: And ladies and gentlemen, this concludes today’s conference call. You may now disconnect.